Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOSC fourth quarter 2012 results conference call. [Operator instructions.] I would like to remind everyone that this conference call may contain projections or other forward looking statements regarding future events or the future performance of the company. These statements are only predictions, and may change as time passes. BOSC does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including, as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption the market, increased competition in the industry and price reductions, as well as the other risks identified in the documents filed by the company with the SEC. I would now like to hand over the call to Mr. Yuval Viner, CEO of the company. Go ahead, Yuval.
Yuval Viner: Thank you, and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Israel and Europe. I will start by saying that we are pleased with the fourth quarter and the year 2012 results that reflect a continued improvement in the company’s profitability. However, our revenues for year 12 were lower by 27% than the revenues from year 11. The decrease in revenues was mostly due to the slowdown in the global economy, which caused delays in our sales of new projects and to the intensive competition. In addition, we closed down a non-profitable product line. We were quick to react to the slowdown in revenues and cut down our labor and other expenses by more than 30%. We expect to improve our performance going forward by sending the mobile and RFID division product offering to our existing customer base. This would include the sale and [implementation] of new hardware and software to customers that already use our RFID solutions, further expanding our supply chain division to our client base in and outside of Israel. Now, I’d like to turn over the call to Eyal Cohen.
Eyal Cohen : Thank you, Yuval. In light of [improvement] in the financial results, we were also [able] to reduce our loans by $1.7 million here in year 12 to a level of [$8.4] million. Other results [unintelligible] loans to [unintelligible] were significantly reduced in year 12 to a ratio of 13 to a ratio of 25 in year 11. We expect further reduction [of this issue] in year 13. Actually, most of the cash flow [unintelligible] to the [unintelligible] loans. We had to raise some equity during the year that [could be] invested in development of the business. We are very pleased with the significant increase in the volume of trading in our stock in recent [months], and the results of this strength will continue. However, we are not aware of any new shareholders who have accumulated significant amounts of [unintelligible]. This completes the financial review. Thank you. 
Operator: Thank you. [Operator instructions.] There are no questions at this time. Before I ask Mr. Viner to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the company website, www.bosccorporate.com by tomorrow. Mr. Viner, would you like to make a concluding statement?